Operator: Ladies and gentlemen, thank you for standing by. Welcome to Teck’s fourth quarter 2009 earnings conference call. At this time, all participants are in a listen-only mode. Later, we’ll conduct the question-and-answer session. This conference call is being recorded on Tuesday, February 9th, 2010. I would now like to turn the conference over to Greg Waller, Vice President, Investor Relations and Strategic Analysis. Please go ahead.
Greg Waller: Thank you, Melissa [ph]. Good morning, everyone, and thanks for joining us this morning on Teck’s fourth quarter 2009 earnings conference call. Before we start, I need to draw your attention to the forward-looking information slides in pages two and three of our presentation package. This presentation contains forward-looking information regarding our business. Various risks and uncertainties may cause actual results to vary. And Teck does not assume the obligation to update any forward-looking statement. At this point, I’d like to turn the call over to Don Lindsay.
Don Lindsay: Thanks, Greg. Good morning and thank you all for joining us. Last year at this time, we were presenting results that looked quite different than what we see today, and the world was still in a state of crisis. I think it’s fair to say that the achievements we’ve made over the past year are testament to the strengths of this company, the strengths of our asset base, and most importantly, the strengths of the entire team at Teck. I will start with the review of the results for the year and the quarter. And then turn the presentation over to Ron Millos, our Senior Vice President, Finance and CFO to address the more in depth financial topics. A number of other members of the management team are on the call this morning and available to answer to answer your questions. Turning to slide five, we are very pleased with the results for the year. We set a new record for the company’s revenues this year at almost $7.7 billion. Operating profit before depreciation amortizations of $3.7 billion was within 5% of the 2006 record when being touched to dollars. EBITDA was $4.1 billion and net earnings of $1.8 billion were the second highest ever. These financial results were supported by good operating performance across the company, including record production of copper at Quebrada Blanca and the zinc at Red Dog and Antamina. Slide six shows our earnings from continuing operations for the year and a comparison to last year. Earnings from continued operations are $1.75 billion or $3.27 per share on a fully diluted basis. These results are more than double the earnings of $668 million last year or $1.47 per share as we had some gains on asset sales and foreign exchange translation gains in 2009, which improved earnings. We also book some massive impairment charges in 2008, which are reduced here. The chart on slide seven focuses on how we have reduced the term loan over the year, where we expect it will be with the closing of the Waneta sale and our comparative cash position. But the term loan reduced to under $1.2 billion, and our expected cash is positioned in the order of $1.3 billion, we expect to be net term loan free by that point. As a result, our net debt to net debt plus equity ratio will be about 26%. Overall, we have reduced our total debt by $6.7 billion since we acquired the Fording Coal asset in October 2008. Thereafter, the balance for the term loan will be repaid from our cash balances and from cash flow. We’re generating very good cash flows so we expect the balance for the term loan could be reduced quite quickly. Turning to slide eight, there are a number of highlights in the quarter. Again, this quarter, we set a new record for revenues at almost $2.2 billion. Operating profit before depreciation amortizations of $1.35 million was the highest we have recorded since Q4 2006, which was our previous record. Net earnings were $411 million, and EBITDA for the quarter was over $1 billion. And we have achieved the major milestone and the planned growth of our copper business, Andacollo reaching mechanical completion in the quarter and ready for commissioning. Having resolved the water issues, Andacollo is now in the start-up process, and Tim Watson will speak to this a little later. Slide nine shows our earnings from continuing operations for the quarter and in comparison to last year. Earnings from continued operations in the quarter were $416 million or $0.70 per share. These results compared to a loss of $603 million last year in the quarter, again reflecting the asset impairment charges at the end of 2008. Before the effect of these rates down last year, earnings would have been $0.50 per share, which compares to the $0.70 per share this year. Slide 10, we show our view of comparative earnings for the quarter. The largest non-recurring item this quarter is the gain on asset sales that we recognized of $137 million. The revaluation of the US dollar debt to the Canadian equivalent resulted in a $35 million non-cash exchange translation gain due to the (inaudible) in the Canadian dollar in the quarter. We have removed this from the adjusted net earnings. We also are removing the asset impairment charges, which totaled $58 million, as a result, adjusted net earnings worth $312 million or $0.53 per share. I should note that due to the appreciation in our stock price, stock-based compensation added about $25 million to G&A expense, which we have not removed here in adjusted net earnings. If we had, this would push up the adjusted EPS by about $0.03 per share. At the comparative net earnings line, we removed the impact of final currency adjustments in the quarter. The higher copper price in the quarter mainly contributed to a positive pricing adjustment this quarter. In slide 11, we are showing a comparison of our operating profits for the quarter and for the year, compared to the previous period. I think it’s pretty interesting to note that despite all the attention that our coal business is getting currently, operating profit from our copper business was equal to our coal business for the current quarter. I’m sure that will surprise a few people. Our coal business has a good quarter meeting guidance for sales and delivering good cost reforms. With a social (inaudible) the good performance of our copper business, and we expect that to improve. And our copper production is expected to increase by about 10% this year and more thereafter. Turning to prices for the quarter, on page 12, prices for our base metals are all up healthily, compared to the same quarter last year. The Canadian dollar was stronger this quarter compared to last year, mitigating somewhat the impact of higher metal prices. Coal is much lower than last year, and the majority of the coal being sold reflects the 2009 contract Tier pricing. Turning to our operating results for the quarter, in our coal business from slide 13, our share production sales is higher on a year-over-year basis reflecting acquisitions at 100% interest in the coal assets in Q4 2008. Sales were 15% higher, compared to the fourth quarter last year. The average realized price of $139 per ton is consistent with our guidance, a bit higher than we received in Q3 as the reduced volume in carry over sales this quarter was more than offset by higher spot price sales. This quarter, only 400,000 tons of total sales were at 2008 prices. At year-end, we still have 800,000 tons of carry over remaining from the 2008 goal. Unit sales costs were lower compared to last year’s due to lower (inaudible) ratios and diesel costs. Overall, costs for the year came in at $55 per ton. Year-end transportation costs were again almost 25% lower, compared to Q4 last year, due to the impact of reduced rail rates resulting from a successful arbitration ruling in July and lower coal prices impact in coal price participation divisions in our Ford contracts. For the year, transportation costs were about 18% lower. Turning to page 14, in our copper business unit, overall production was down 7% versus Q4 last year due to reductions in Antamina as we processed a greater proportion of copper-zinc ores in the quarter. At Highland Valley, as harder ores reduced ore throughput, and at Andacolla as the transition from cathode production to concentrate production commences. Offsetting that somewhat another good production quarter at QB, where we set a production record for the year of over 87,000 [ph] tons. We’re very pleased with that. Sales volume was up about 12%, reflecting the lower production. The operating profit before depreciation and pricing adjustments is equivalent to a cash margin at $2.01 per pound of copper sold. This cash margin of – changes of course with operating costs, treatment charges, the by-product credits. But it does demonstrate the continued strength of our copper business, the weighted average overall cash costs for the quarter was $0.99 a ton. Cash costs have increased somewhat in a few of the operations. Highland Valley is experiencing reduced production, and the resulting impact on unit costs is expected to continue through 2010. QB costs have increased somewhat as well as is now moving more waste materials to maintain ore production rates. And Andacolla's in transition from cathode to concentrate production, as a result, unit costs are higher there. The entire cost have been offset by Antamina with a lower unit cost to the by-product values, which has resulted in an overall unit cost being relatively stable over the past two quarters. Turning to page 15, in our zinc business, zinc cost Trail production for the quarter was about 27% higher than last year as both Red Dog and the Antamina produced at higher rates. In fact, both Red Dog and Antamina set new annual production records for zinc. I should note that even though we show Antamina share of zinc production in these figures, the financial results of Antamina are fully recorded in our copper business. Production of refined zinc at Trail for the quarter was similar to last year as we were still recovering from a curtailment of metal production that had been instituted in Q4 2008. Our zinc business contributed $205 million in cash operating profit this quarter, up conservatively from last year as the zinc price at a dollar per pound was almost doubled last year in the quarter. I will now turn the call over to Ron Millos to address the financial issues.
Ron Millos: Thanks, Don, and I’m on slide 17. As Don noted earlier, our debt position at the end of the quarter had been reduced to about $7.6 billion, which left us with a net debt to net debt plus equity ratio of about 31%. Since the end of the quarter, we made a further $442 million of payment against the term loan and it is due to be reduced even further with the closing of the Waneta transaction. The proceeds of which will go to debt reduction. This slide shows the pro-forma expected debt and cash level after the closing, and we expect our net debt for net debt plus equity ratio will be about 26%. And I should note that the debt amount shown on the table are net upon an amortized issue costs and discounts. When the term debt is fully repaid, we expect that our debt to debt plus equity will be well under 30%, and our net debt to net debt equity ratio will be well under 25%, which we believe is within the Credit Rating Agency guidelines for investment grade credit rated metrics. Our pro-forma debt to EBITDA ratio will be under two times, compared to our target of under 2.5 times. How long the rating agency takes to make their decision to put us back to investment grade, is of course, their call. On slide 18, we have summarized our changes in cash for the quarter. Cash flow from operations was $697 million in the quarter, including the working capital change. And our working capital change was positive as it normally is at this time of the year due to seasonality of our business, most of which is related to the timing of the shipping season at our Red Dog mine. Capital expenditures and investments were $230 million in the quarter. Investments in the oil sands was only $16 million of this total, which for held being put on current maintenance. Our funding requirements for 2010 are expected to be approximately $1 million per month. We made debt repayments of $352 million in the quarter, with net proceeds from asset sales and from our operating cash flow. After allowing for the effective exchange rate changes on cash and cash flow from discontinued operations, our net change in cash in the quarter was an increase of $247 million, to a balance at the end of the quarter of $1.4 billion. And the restricted cash on our balance sheet can only be used to make payments on our term loan. Slide 19 shows our final pricing revenues for the fourth quarter. As we highlight each quarter pricing adjustment on sales of our various products can have a significant impact on revenues. Outstanding provisionally priced receivables at the end of any quarter are finally priced based on contractual quotational periods for subsequent periods resulting in positive or negative price adjustments. Final pricing adjustments for this quarter were overall positive, but relatively minor compared to the quarterly volatility we have seen over the past year. The largest impact was in copper where we had 105 million Pounds of copper receivables settled in the quarter at $0.20 per pound higher than the price at which they provisionally booked at – in the third quarter. In Canadian dollar terms this increased our revenues in the quarter by 19 million. We also incurred a positive adjustment in zinc, where we had a 155 million Pounds settled in the quarter at $0.11 per pound higher than the price at which provisionally book. We also record pricing adjustments on sales booked during the quarter, and these are marked-to-market at quarter-end. With the increase in metal prices at quarter-end this contributes an additional $63 million in pre-tax revenue. And remember, when analyzing the impact of price change upon our final pricing revenues, refining and treatment charges, and the Canadian-US Dollar exchange rate must be included in the calculation. In addition, we need consider taxes, royalties, and minority interest when trying to analyze the impact on net earnings. Moving on to slide 20, we’ve summarized our production guidance for the year. Coal production guidance is for production in the range of 23.5 to 25 million tons, which will be approximately 25 % higher than the rate we produced that in 2009, but only about 15% higher than the annualized rate we produced that – for the last half of 2009. Copper production is expected to be about 10% higher than last year, primarily due to increased production at Andacolla with the transition to the concentrate production. Zinc production expected to be about 650,000 tons of zinc in concentrate, which includes Red Dog and our share of production from Antamina. Zinc in concentrate production will be down principally due to reductions at Antamina. Refined zinc production at Trail is expected to be 290,000 tons. And with that, I will turn the call back to Don Lindsay.
Don Lindsay: Thank you, Ron. Turning to slide 22, I would like to highlight a few items that you should be thinking about regarding earnings estimates for the first quarter. As always, there's seasonality in our zinc sales due to the shipping season at Red Dog. And we are currently expecting about 110,000 tons of zinc sales in Q1, which is down from the 200,000 tons that we've sold in Q4. And Q1 is typically our most difficult quarter for coal shipments as either the impact of snow in January and February or rain in February and March can disrupt Trail haulage temporarily. Although with the winter we're having this year, this rain was more likely the issue. In coal, even though spot pricing is very strong, we are still selling most of our coal on the basis of the 2009 contract Tier pricing albeit between 5% and 10% of sales still on the 2008 contract Tier pricing. Copper production will be lower at ton value this quarter ever since last year as we continue to deal with the additional shipping requirements. And lowered Andacollo as it is in transition from cathode production to concentrate production, and this was the consequent impact on unit costs as well. And with the correction of prices we have seen recently, if prices were to stay at similar levels for the rest of the quarter, we would incur negative settlement adjustments from sales as we have provisionally priced at the end of the fourth quarter. And of course, with the closing of the Waneta transaction this quarter, our sales of surplus power will be pretty much eliminated at some point this quarter. And so, I think it's important to note that even though we feel we've had a very good year in 2009 and we think the outlook for the balance of 2010 is very strong this quarter, we still have all these factors involved in it right through until March 31st. Now on slide 23, I would like to talk you briefly on the tasks of our asset sales and on the projects with zinc and copper production at Andacollo and Antamina. Slide 24 summarizes the asset transactions that we've (inaudible). We have closed all the gold transactions now, except for the equity positions we still hold and applied the proceeds from all these debt reduction. We still have to close the final transaction, the one-third interest for any of them as we've discussed here. And in summary, these asset sales will have generated total proceeds of $1.6 billion. But I think it is very important to note that this represents only 5% of our total asset base. And equally important, the sale of the gold assets, once the execution of this strategy to capture the unrecognized value in our gold assets that we had communicated a number of years ago. As we've said on many occasions, gold will never be fully valued in a diversified (inaudible) company or resources company like the gold multiples that others enjoy. So for Teck shareholders to benefit from our activities in gold, ultimately, we do have to sell the assets to attain those higher valuations. We announced that we would do that a couple of years ago. And that was executed in 2009. The only utilized asset sales that took place in last year's] one-to-one period interest in Waneta and that represents only about 2.5% of our asset base. So the main point here is that we have a 100% of our core assets intact. And today, we have more reserves, and resources, and production that we did at the start of 2008. So we are well positioned going forward into the future. Turning to page 25, I'd like to turn over to Tim Watson, our Senior Vice President of Project Development to discuss the Andacollo project.
Tim Watson: Thank you, Don. The photograph that's presented on slide 25 you've seen before, this is the most recent photograph taken just a few days ago that shows the entire facility now complete, and in the early stages of commissioning in (inaudible). Some of the milestones that were achieved at the tail end of the project; mechanical completion was achieved in December 2009. The primary crusher began crushing material in early December, December 6th, and the first ore was introduced into the concentrator on January 19th of this year. And the first very minor amount of concentrate was produced on February 2nd. So with that, I'll turn it back to Don.
Don Lindsay: Thank you, Tim. Turning to slide 26, we announced in early January with out partners the decision to go ahead with the expansion of the Antamina mine. We're concentrating it to be expanded to 94,000 tons to 130,000 tons of ore throughput per day. The mine fleet will be expanded to support the higher throughput. This one fleet is copper production by 40% for the first two years. Zinc production will be higher than the case without expansion, but in fact will decline somewhat due to a change in ore mix. (inaudible) silver and (inaudible) production will also all increase. The expansion project CapEx will be funded by a combination of Antamina’s existing cash flow; reinvestment profits, which reduces taxes in the short term, and some borrowings at the CMA level and some equipment leasing. Net result to taxes that we won’t actually put new cash in the project, expected dividend distributions throughout towards over 2010 and 2011 will be reduced. But by last term, about $100 million in total. Slide 27. In summary, our diverse portfolio of high quality mining assets provide investors exposure to commodities with strong fundamentals, and therefore are among the most favored by market analysts. Our long-term strategy is to continue to build our existing businesses, and we will look to broader diversification opportunistically. In our copper businesses, we expect to deliver a 40% growth in production in the near to medium term through 2012 from an announced projects. Longer term, we expect that over a period of years, we can triple production with the development of the existing resources that we have right now. There’s no need for any acquisitions of new resources. In our coal business, we expect to be able to grow production by over 50% over the medium term, again from existing resources already in the portfolio. In our zinc business, our focus for the next few years will be in growing our demand for zinc through the International Zinc Association, and they can fertilize it. And our move into the oil sands is another important diversification like Borax. We expect it will provide us with participation over the long term in high margin, very long life assets. Out involvement in the oils sands is very much an extension of our core skills, large scale surface mining the north. In the near term, it represents the valuable long-tem coal option well. With that I would like to thank you for your attention, and we’re open for questions.
Operator: Thank you. We will now take questions from the telephone lines. (Operator instructions) The first question is from Brett Levy of Jefferies & Company. Please go ahead.
Brett Levy – Jefferies & Company: Hi, guys, excellent quarter. Can you talk a little bit about plans to hedge any input, output or currency as you look at your current situation?
Don Lindsay: Okay. Our policy has been to – in general not hedged. Other than situations where we have a large capital expenditure, we want to assure return of that capital investment or if the franchise or particular parts to this are at risk in some way. So when we we’re back to the fall of 2008, we did hedge copper at that stage at an average of 243 when it was in steep decline, and that turned out to work out all right. In the later part of 2010, we also hedged some copper while we are in negotiations with banks to demonstrate sensibility. The bill of hedges I think finished last July, and since then, there has been no further hedging in terms of currency in the coal business because coal – the price for coal has (inaudible) annually. Once the coal price was known, we have hedged the Canadian dollars. That’s because our costs are in Canadian dollars and our revenue are in US dollars. That provides a stable margin. At this stage, we don't know how coal negotiations are going to go. As you may have heard, there is a lot of discussion about going to quality pricing or shorter term pricing, and most spot business is being done. So we will wait to see how those negotiations go until we make a decision on hedging the Canadian dollar. But in general that would still be a stable margin in that business. If the business does go to quarterly pricing, it’ll be a little easier from a hedging point of view. The thing is our copper and zinc business re-prices daily. If the US dollar declines and the Canadian dollar rises where the coal price historically has been annually, so that’s the hazard of that business. And I think that hedging and doing it quarterly will make it more stable. So that's basically our position on hedging.
Brett Levy – Jefferies & Company: What are the major elements of the Canadian dollar or $1.1 billion CapEx budget? And then can you get us the pro-forma for the asset sales, what maintenance CapEx is?
Don Lindsay: Yes. I’ll turn you over to Ron Millos here (inaudible) – categories, we’ll all be getting into – do it mine by mine.
Ron Millos: Okay. The sustaining capital will be about $375 million of the total and about $675 million will be the development. The main development projects would be the completion of a Highland Valleys push back in resolving the geo-technical issues there, the Antamina expansion that Don spoke to, additional equipment at the coal, and then starting work on firming up what we would potentially will be doing with the key broader blank to concentrate project in some of our Oil Sands projects. At the sustain level, the copper will be about $130 odd million coal. We have about $125 million in the zinc business will be about $100 million.
Brett Levy – Jefferies & Company: Got it.
Don Lindsay: Just to put it in context, basically, in order of magnitude, it's roughly the same level of last year, a little bit higher. But last year had a large component of Oil Sands, Ford Hills, as management with well over $300 million. This year, that reduced to $9 million. And so that increment is devoted primarily to coal and copper. (inaudible) it’s important to grow the coal business right now. So that not only we can benefit this year, but we'd see the outlook in 2011 and 2012 to be quite positive and we want to be sure that we have production end. So that’s why we’ve increased the capital on the coal side. As Ron said, on the copper side it’s really geo-tech pushes the Highland Valley and the other things we’re watching.
Brett Levy – Jefferies & Company: Okay. Last question is capital, our debt to capitalization. Right now, your pro-forma is at 26% investments grades, in theory 25%. Are you going to cash it where you are and you leverage slowly or do you want to a blow through that as a way to perhaps move in the rating agencies faster to upgrading in the investment grade?
Don Lindsay: Right now our sole focus is on repaying the term loan and eliminating that. At that point, all we will have left is in bonds outstanding. There are some that we could (inaudible) closely at that. That is to me though the numbers are not fairly that economic. But I think over time, you will see that our debt levels will continue to reduce.
Brett Levy – Jefferies & Company: Thanks very much, guys.
Operator: Thank you. The next question is form Jeff Kramer from UBS. Please go ahead.
Jeff Kramer – UBS: Hi, good morning. Just on the expansion, the 24 million tons this year coal production, could you just talk about the steps that were – that's being taken. It sounds like your spending some money on additional equipment. From a cost perspective, that will be flat year-over-year. Say I guess, the extra stripping that needs to take place, can you add some color on that?
Don Lindsay: Okay. I’m going to turn it over to Bob Bell from our Teck Coal business to give you some thoughts on that.
Bob Bell: Hi, good morning, Jeff. When you look at the expansion of the coal side, the investments both on mining equipment and on the plant side, we're also hiring additional employees to see that grow.
Jeff Kramer – UBS: Okay. How far do you – how much further does that expect that you can take production up in ’11 and ’12, if you reach a physical limit at some point or what's that limit?
Don Lindsay: We said that in the longer term we’re really targeting towards a 50% increase, which will take us up towards 30 million tons. It will take a few years to get there and a lot of steps between here and there, but we’re taking all those steps to prepare ourselves for that.
Jeff Kramer – UBS: Okay. What are you expecting for 2010 as far as your mix of net coal sales, as far as destination goes?
Don Lindsay: Well in 2009, we saw quite a significant increase into the Asia. So we went from left enhanced our sales into North Asia. And we want to (inaudible) 70%. In 2010, we will see increased demand from our more traditional customer base. So we will see some sales returning to that in a more traditional customer base. But we will see hired sales in Asia that we had before in 2009.
Jeff Kramer – UBS: That’s like 68% Asia, 42% Europe and South America?
Don Lindsay: I don't think we can give you a specific breakdown right now, but that’ll be definitely be more than half is Asia.
Jeff Kramer – UBS: As far as the net ton on the fourth quarter as somewhat deferred into this quarter, is there a rough number you have for that?
Don Lindsay: I’m sorry, I didn’t hear the question?
Jeff Kramer – UBS: The tonnage that was deferred from the fourth quarter of ’09 due to weather into the first quarter, is there a rough number that you have for that?
Don Lindsay: I don't think we gave a specific break down. It was really a couple of vessels, a couple of large vessels. And we’ll see those sales being made in our first quarter.
Jeff Kramer – UBS: Okay. Thank you.
Operator: The next question is from Dave Cad [ph] from JP Morgan. Please go ahead.
Dave Cad – JP Morgan: Hi. When you guys there are saying that you expect 2010 coal mine cash unit costs to be somewhere to 2009 levels (inaudible) you're referring to the 4Q ’09 levels or the higher 2009 full year average levels?
Don Lindsay: That’s really referring to the entire year.
Dave Cad – JP Morgan: Okay. And what would be driving the costs up then from what we were seeing as lows in the fourth quarter?
Don Lindsay: Well it's really a function of our overall strip ratio that we are expecting for the year, and haul distances, and other mining costs. And when we look at those compared to 2009, that’s how we compared conclusions on the costs.
Dave Cad – JP Morgan: Okay. And then in terms of the carry over tonnage, in the previous question I think you touched on it a little, but are you expecting the majority of the carry over tonnage to be sold in the first half of the year?
Don Lindsay: Yes. It would be more than half of the first half. Probably about half of to the total in the first quarter, and then the balance to be spread over the remainder of the year.
Dave Cad – JP Morgan: Okay. And then finally, when you’re talking about the possible volume further coal production increases in 2011 and 2012, I was hoping that you could go through the steps necessary to make that happen.
Don Lindsay: Well, the most important thing is for us to do the upfront work that allows people to have a look at what we’re calling for in terms of capital spending and potential returns. And then people make decisions based on what will come forward. And what we’re doing is to make sure that we’re taking all those steps so that people can make those decisions. So that’s engineering work, and been doing your exploration, it's definitely on those lines.
Dave Cad – JP Morgan: Okay. And then lastly, and I believe in the past you had mentioned, Don, that you will not be opposed to making whole on the missed dividend payments. Is that still something that you guys are considering? And if so, what would be the possible timing on that?
Don Lindsay: It is true that when I was interviewed by – who was this guy? One of the media – that they have to go to that issue and I said that was something that I was (inaudible) interested in. That’s the kind of thing that the board decision is not something that people should be building into any models. That’s what I think. The dividend calls is up to the board, and that will be reviewed at each board meeting going forward. And quite I had a comment on the coal, then spending lot of time on this. Not what each of the phase general managers last week to ensure that our guidance is still in line. But one of the comments on cost is we look at different configurations in order to be able to increase production, there is number of things that you can do including such things as moving coal from one plant constrained mine over to another where there is plant capacity. And that by definition would increase a component of the cost if you’re doing that. But it’s still very profitable business with the outlook for copper raise that we see. So some of those kind of things in the next year are very worthwhile to do even though it would have the effect of increasing cost per ton much later, the margin of that kind of business is very, very healthy. So I think that those are some things that should be kept in mind in 2010.
Dave Cad – JP Morgan: Okay. Thank you.
Operator: Thank you. The next question is from Orest Wowkodaw from Canaccord Adams. Please go ahead.
Orest Wowkodaw – Canaccord Adams: Hi. Good morning. Just a couple of operational questions, your coal production in Q4 is about a million tons short of what we were looking for. Could you give us a bit of color in terms of what happened there? And what gives you confidence that you can ramp up here from that 5.3 million ton a quarter rate to a minimum of 5.9 average per quarter and it'll tend to meet the low ends of your guidance?
Bob Bell: It’s Bob here. In the fourth quarter, these mines are pretty complex. When you end up with certain configuration of debts, sometimes you're not releasing as much coal as you might want to. But when you look at the overall plans for the coming year that to ascertain these plans have been reviewed straight early and we’re quite confident that we’d be able to produce within our guidance. With the equipment, (inaudible) the fact that we’re able to hire the employees we need. We don't see any issue though conflict in our guidance.
Orest Wowkodaw – Canaccord Adams: Should we anticipate lower production in the first half of the year and a big ramp up in the second year? Or do you think it’s going to be pretty even?
Bob Bell: No. There will be a ramp up later in the year as we – as equipment comes on, at least, we’ve already have on line. So we’ll be lower in first half.
Orest Wowkodaw – Canaccord Adams: Okay. And at the Antamina, the molybdenum production is really falling off there, only 5.5 million Pounds in '09 at 100% basis, used to do well over 13 million Pounds. Can you give us a view of what your expectations are for ’10 and forward and how the expansion will impact the moly production?
Don Lindsay: I’ll turn you over to Roger Higgins, our Senior VP Copper.
Roger Higgins: Thank you, Don. Thank you, and good morning. I had a minute here – have quite a difficult year on molybdenum for a couple of reasons. As you will be aware, the all body is there – the channel body, which is quite variable has each pushed back comes down the wall of the – buried with copper, zinc ores enhanced very high zinc production, the corresponding molybdenum production during the course of the year. So generally speaking, (inaudible) for molybdenum during the year. And also the entire plantation compound is certainly or after (inaudible) was required to keep the zinc and copper separations going so there was less attention paid unless the (inaudible) equipment to the recovery of molybdenum and (inaudible) below anyway. As we go forward, it does change. We will have – some of our production in 2010 driven only about 8 million Pounds in the expectations. That is almost the function of what material is in the face of the mine as the mine progresses down through each (inaudible).
Orest Wowkodaw – Canaccord Adams: Okay. And just one last question if I may, in your copper guidance for ’10, the 340,000 tons, what contribution have you assumed for Andacolla on that number?
Roger Higgins: They have a small production from copper (inaudible) 10,000 tons of copper and 50,000 tons of copper concentrate.
Orest Wowkodaw – Canaccord Adams: Okay. Thank you very much.
Operator: Thank you. The next question is from David Charles from GMP Securities. Please go ahead.
David Charles – GMP Securities: Good morning, yes, I was just wondering in respect of the Aqqaluk permanent appeal, what would be the worst case scenario if for some reason the appeal was upheld and the development of Aqqaluk was delayed?
Don Lindsay: David, I’m going to turn you over to Len Manuel, our Senior VP and General Counsel.
Len Manuel: Look, the worst case scenario would be a stay of the – of one of court terms, the MTDS permit will be supplemental environmental impact statement. So that would be an appeal to the Environmental Appeal Board inside EPA itself. We will of course, try to expedite that process. But that could delay our access to Aqqaluk about 12 to 18 months.
David Charles – GMP Securities: How would that impact production from Red Dog in overall?
Don Lindsay: Our current mine plant calls for blending of higher grade material from Aqqaluk with lower grade material in the main pit as we move towards the exhausting that pit in the fall of this year. If we’re not unable to pre-strip and access to Aqqaluk, then the operation could shut down as early as October this year.
David Charles – GMP Securities: Does that mean that the operation would completely shut down and you would lose almost all production or would you still have a residual production from the low grade material in the current pit?
Don Lindsay: The low grade material in the current pit have some opportunity to blend it with higher grade material would not be economic and we’d move to complete curtailment of operations.
David Charles – GMP Securities: Okay. And could you give me some sort of an idea what the time table at the moment would be to how you see it on the resolution of the appeal?
Don Lindsay: First of all, we have to have an appeal. And we may have seen that yet. We have been encouraged by statements made by the environmental NGOs and the tribal groups that they intend to shut down the mine. And also encouraged by the fact that although there’s an appeal of the state certification of the MTDS permit issued by EPA in January, there was no request for the state. We fully expect these people to act responsibly, and if they do, they’ll target their appeals to specific issues in the MTDS permit and must seek a stay of the entire permit. And we’re in constant dialogue with them to try and address their reasonable concerns.
David Charles – GMP Securities: Finally, if I’m not mistaken, you said that you need to have some sort of a revolution by the end of the first quarter so there wouldn’t be any impact. What’s the likelihood that you’ll be able to meet that time table?
Don Lindsay: If your period of the – for the MTDS and MCIS expires on February 17th, if no appeal was launched by that date, we’re still waiting for a wetlands permit from our corps of engineers which we need to start to pre-strip Aqqaluk. So you’ll know by next month.
David Charles – GMP Securities: Okay. Maybe if I could ask just one final question. I was just wondering, you did say earlier that the Board reviews always see the dividend policy every quarter. Could you maybe just highlight, again, what would be the key drivers for the Board to make a decision to reinitiate the dividend?
Don Lindsay: I said that we’re completely focused on paying the term loan and that’s what we’re going to do. And we won’t be doing anything other than that. That’s not too far off with the rate we’re going, but we’re going to see what would turn out.
David Charles – GMP Securities: Okay then. Thank you very much.
Operator: Thank you. The next question is from Michael Gambardella from JP Morgan. Please go ahead.
Michael Gambardella – JP Morgan: Yes. Good morning. I have a question about the great optionality value you talked about in the oil sands business. How do you see that real good optionality value in oil sands? Is it just higher oil price in my mind or is there something else to it, or what oil price? Can you expand on that because you still seemed pretty enthusiastic about oil sands?
Don Lindsay: Yes, long term, we think it is a very good pit for our portfolio. It’s great next door in Alberta, large open-pit mining which is something that we’re good at. There’s no particular reserve or respiration that would keep you light because we have resources. We have no resources of vision as measured in trillions of bills. Now, when we had zero four years ago, and how we create value for that in the long term remains to be seen. But whether it’s gold, some of the copies or sell some of the copies, and in the meantime we spend very little money on it over the next couple of years. And just to continue to add value to properties from a regulatory point of view towards (inaudible), so we see or remember differently that to create value for shareholder. And then, long term on the oil price, I guess, we’re believers that the oil will be important part of the engine needs through the world. That’s kind of a conventional oils and decline would go on. So we'll have to see. But in the meantime, in the next couple of years will be very little money spent on it.
Michael Gambardella – JP Morgan: What oil price do you need to make it attractive?
Don Lindsay: That depends which project you’re talking about and what form of project, what size, and what should give them structure to do all those things. So we only put our thing in another rate now. We’re waiting for Suncor to complete its studies and that will take some time, but we’re quite confident that the result of their work will make the project look even better. What oil price, I would say that, you need to get an appropriate career to turn that, and we’ll have to wait and see what results they're working to give an answer on that.
Michael Gambardella – JP Morgan: And just last question on it, have you had parties approach you, interested in buying any of your oil sand leases?
Don Lindsay: We have discussed this from time to time with a number of prices in the industry with all sorts of things and that’s been all explained.
Michael Gambardella – JP Morgan: All right. Thanks a lot.
Operator: Thank you. The next question is from Oscar Cabrera from Bank of America. Please go ahead.
Oscar Cabrera – Bank of America: Good morning, everyone. Just on your coal sales for 2010, what are your plans or predictions for the spot sales? And then, secondly, I don’t know if you can give us a little bit more color on the capital expenditures for development projects, I guess figures for coal, Antamina, I think we have a good idea, but Highland Valley.
Don Lindsay: Okay. On the coal, I’ll have Bob comment on the – I think the question is percentage of spot sales?
Oscar Cabrera – Bank of America: Yes, percentage of sales because I believe in the last quarter you said that there was an indication that you were to pursue a higher volume of sales in the spot market.
Bob Bell: Last year, I think we are in the about 20% of the sales during the stock market versus the previous years of basically zero, or almost zero, that was a significant increase. We are still working on our marketing plan for next year. So the more that we determine but order of magnitude that could be similar to last year but that will depend on the negotiations with customers and pricing, and the mix of corps of laborers and so on. So a little of premature to give you your hard number on that, but in the range of last year. And for cap alone, that’s about down. Yes, that’s right. The six, this old spot is probably not correct. We developed some relationships that we worked on in 2009 using the spot market as a vehicle to do that. So considerably shorter term pricing cycle, some may actually turn private into more of a contractual relationship under the short term crisis cycle to build we had last year.
Oscar Cabrera – Bank of America: Sorry to interrupt but would that be something similar to what BHP’s after, like quarterly settlements for these prices?
Don Lindsay: There’s a lot of corporate market doesn’t mean there’s short pricing cycle. At least we can see the benefits of the short prices crisis cycle. You can lose that way and they’ll support it. But regardless of what the overall market does, what happened in spot sales would certainly be shorter term pricing cycle because we’ll continue to build on relationships we have in the Chinese market, the main focus, and the pricing cycle is already shorter in Chinese market.
Oscar Cabrera – Bank of America: And then, I’m sorry in the CapEx, the development CapEx for 2010 on the cost side.
Don Lindsay: It's about $230 million.
Oscar Cabrera – Bank of America:
 :
Don Lindsay: On the development side, we bought $140 million.
Oscar Cabrera – Bank of America: $140 million. You said on the release that you were planning to capitalize to this CapEx. So what should we think about in terms of cost and opportunities?
Don Lindsay: Sorry, on?
Oscar Cabrera – Bank of America: On 2010 versus 2009?
Don Lindsay: Probably on Highland, which business are we on now?
Oscar Cabrera – Bank of America: Sorry, this is Highland Valley.
Ron Millos: All operating costs?
Oscar Cabrera – Bank of America: Yes, operating costs.
Ron Millos: Can I get back to you on that one, Oscar?
Oscar Cabrera – Bank of America: Yes, no problem.
Operator: Thank you. The next question is from David Neuhauser from Livermore Partners. Please go ahead.
David Neuhauser – Livermore Partners: Good morning, gentlemen. I wonder if it's easy to provide a little more of a macro view on where commodities are at this point in the cycle? Coming out of last year’s credit markets and we’ve seen a trajectory that’s essentially straight up and we think that prices have obviously, in the short run just recently, you start to head back down. Are we going to see any ideas as far as – will production be kept at these levels, or will the appetite you think on the macro view start to take effect and we’ll see some normalization of prices and see a little bit of weekend somewhere?
Ron Millos: Well, we could talk at length on that question. So let me – it differs by commodity by commodity. And it just all peaked to our commodities. Our view is that near term (inaudible) is the most interesting prospects, primarily as the result of a dramatic increase in import. China has a (inaudible) that went from 3.4 million tons, I think, in ’08 to 34 million tons in ’09. And that’s before a number of these large steel plants from the coast are built. And so if you combine that with the fact that for the most part, (inaudible), the US and Western Europe have really gotten the full recovery. So if China keeps doing what it’s doing, it doesn't have to grow, it can just stay where it is. And the US and the Western Europe, and the rest of the world recovered, we think that margin is going to be very, very tight for the next two or three years because there’s not much that the producers can do. We’re all trying to increase production. But let me tell you, there are all sorts of challenges and difficulties. It's tough. And I think that when we go through company by company though, they’ll tell you how difficult it is. In copper, we think copper has the best kind of medium to long term outlook because the major mines around the world, their head grades are in decline, and some of the really large ones, And Chile ensues a higher grade course at the beginning and they happen move more rocks and produce less metals. And there aren't that many large projects available. Explorations haven’t been that successful globally even though $7 billion a year fund (inaudible). So we think that over the next ten-year period if copper demand grows even at a moderate rate that the mining this year will not be able to keep up. Right now, it's still in the small surplus, and there's been quite a bit of participation by financial players in copper. But I think the reasons why it's still trading at the levels that it is, 290-ish, today, people understand the long term view that there’s not much the industry can't do to keep up demand. And I think these probably tracking copper would be a year and a half to two years behind. There hasn’t been a lot of money going to zinc exploration. And there aren't a hole left to large mines to develop. There's still a surplus, no question about that. The big question is how much zinc can China produce when the price goes up. We saw an example in 2006, 2007 when in those years; the price average was down at 47, both years exactly as a fair amount of production from literally thousands of small mines in China. Whether they can do that again or not remains open to questions, we’ll see. But elsewhere around the world, there’s more production in decline from Antamina shifting into more copper, less zinc, ultimately run (inaudible) at some point will deplete and so, and so. In the long term, zinc could be tight as well. But tracking copper is probably a year and a half or two years behind. So that’s just some of thoughts as for the moment. (inaudible) we're seeing where the water issues we had in Chile in Andacolla, the Aqqaluk permitting in Alaska, every operation, even current the operation – currently run operations are difficult to keep going, let alone trying to open new production. I think this is going to be tracking and trackers as years go on to develop new production.
David Neuhauser – Livermore Partners: It sounds like it’s more – there’s more concern with just track to be flexible and able to supply increase your production at times of the actual prices of commodity itself. I mean there’s reasonably – I was reading about how imports for copper this year might level off and that's the basis of one of my questions was, and that obviously with the ongoing crisis with some of the other – on the EU. So that was where was going with these, how flexible would you need to be in the very, very short run and looking out in 2010? And are you guys capable of moving quickly?
Don Lindsay: This structure in the mining business, you don’t have that much flexibility. You can’t turn on the tap and have copper flow. It takes a long time, long lead time, lots of capital and permits, et cetera. So the industry will do everything it can to increase production. We’re doing it, we know our competitors are. But it takes time, and I think demand outgrows supply. The only thing I would to say on a cautionary note, the odds are that at some stage, we will see another global recession or – this market will continue to be volatile, the economies will continue to be difficult. And at anytime, an event can occur that causes market close (inaudible) – providing markets to become quick cautious and everyone stop (inaudible) in ‘08. So we have to come build that into our thinking going forward. It’s a very volatile world. But along the way, even though the industry may have difficulty keeping up in production and demand might be strong in 2011, (inaudible) expect at some stage there will be big downturns that we'll have to keep doing this.
David Neuhauser – Livermore Partners: Well, thank you for the answer and good luck in the year. Thank you, guys. I appreciate that.
Operator: Thank you. The next question is from Greg Barnes from TD Newcrest. Please go ahead.
Greg Barnes – TD Newcrest: Yes. Thank you. Don, just quickly, you mentioned other diversifications in our remaining offices (inaudible). I know it's a bit early to be asking this question. What are you thinking on that avenue?
Don Lindsay: So I appreciate the question, but we don't have any plans to make any major assessment in the future. We're still focused on repaying mature loans, as you know. We like the growth profile that we have as it is in our current businesses. Near to medium term, the copper at 40% at longer term with the QB (inaudible) quite material. Coal is there to be had, and so we're totally focused on getting that. And then eventually, at some quarter we'll finish these studies and that we think more help will come on. So it's quite a bit of internal growth, which means there's less of a need for any kind of acquisition to drive growth. Further to your question, if we had an ideal – if we're trying to build an ideal portfolio as to what would the next position be, I've often said that it makes a lot of sense for us to be in our norm because it's complementary to our coal. I just don't think that that's going to be something we could do in the near term because anybody who's in the (inaudible) business right now is enjoying the best times we've ever seen the careers (inaudible) for the reasonable price anyway, so. I don't anticipate, Greg, that will actually change in the near term.
Greg Barnes – TD Newcrest: Great. Thank you, Don.
Operator: Thank you. The next question is from John Hughes from Desjardins Securities. Please go ahead.
John Hughes – Desjardins Securities: Thank you, operator. Just one or two quick questions, Don, you'd noted activity in the spot market in coal. And I just wanted to touch base on Q1 in terms of events there and you're participation in the spot market side. Can you give us some idea on what kind of pricing that you're seeing and/or participating in the spot market in Q1?
Don Lindsay: Okay. We want to be helpful here, but we also have to be careful on our discussions on these things because we're starting to get in discussions with customers. I guess I'll just repeat what we would read in the trade journals as anyone else. We've seen recorded spot business after the Australia in the 200 to 225 range. We have different coal specialists employed in China tracking the pricing and costs there. And certainly, there's a pretty strong upward trend in that market, which is a big factor in the coal market now.
 :
John Hughes – Desjardins Securities: So that's good. That helps. On Red Dog, just two quick ones on the permitting front, the appeal of the state's certification of that water discharge permit, I know there is no stay, which is great. I'm just wondering in terms of if all the other permitting processes, whether it be the army corps and/or – or anything else in terms of the permitting is completed by the 17th, say, without any appeal processes being initiated, et cetera, specific to the appeal that's already in place, is there a potential for that appeal to in essence be upgraded or downgraded, depending on your view, to include a stay?
Don Lindsay: No, not at this time. The stay they should have asked for at the outset, the appeal of the state certification should not impact our schedule for accessing Aqqaluk.
John Hughes – Desjardins Securities: Okay. Just a little bit, two outstanding ones or one getting through to the February 17th period, and then securing that wetlands permit from Army Corps of Engineers.
Don Lindsay: That's correct.
John Hughes – Desjardins Securities: Have you heard anything on the Army Corps? I mean, again, there's no specified period established for an appeal of that permit. I'm assuming that that permit can be appealed?
Don Lindsay: Yes, it can, other than – an outside, six-year limitation period. But in reality, you would expect an appeal relatively soon after the Corps permit was initiated. But everything we heard from the NGOs and the tribal groups doesn't – don't implicate the wetlands permit. Their concerns seem to be with the clean (inaudible), and that would presumably implicate the MTDS discharge permit. So we're working with them to address their concerns and we'll hold them to their word that they don't intend to shut the mine.
John Hughes – Desjardins Securities: Okay. Termination date for appeal of February 17, could not be changed, it could not be push, say in the 20 or?
Don Lindsay: No. I think that's an absolute date.
John Hughes – Desjardins Securities: Right. And so one last one, I guess, Don, on that. The sale of the Waneta interest, is there any objection for that sale? Or is there any reason to believe that won't close? Is there an appeal process in essence that on the sale of that asset?
Don Lindsay: We see no seen reason why the deal wouldn’t close.
John Hughes – Desjardins Securities: Okay. That's great. Thank you very much indeed.
Operator: Thank you. The next question is from John Tumazos from John Tumazos. Please go ahead.
John Tumazos – John Tumazos: Good morning. You have many free fees and fees ability studies in process for the many fine projects under evaluation. Could you provide a little more update as to the likely timing of the completion of the studies? And whether you are going to evaluate each of these one by one or sort of put them in a collective review process trying to determine whether Galore is better than Relincho as opposed to another project, et cetera, et cetera?
Don Lindsay: Okay.
John Tumazos – John Tumazos: Question is of course the data in your decision process.
Don Lindsay: So that's a very question and I guess relate the core of our team here. We have a quarterly review meeting of all the projects which is one of the most fascinating meetings that occurs with our team. And it is true that we do have number of projects that are scoping study to billion so on that they are moving along. And we like that. If you look back five years ago, we were kind of a resource challenged in corporates certainly and from others. Now, we feel we are resource rich company and that the key over the next five years is to sequentially develop these things and converting into production for shareholders. There is a debate. Some people like one project better than another depending on various factors and we do review that. We have a face dating process at which project moves along that gets a very good review from all, all function within the company from engineering to the sustainability and so on. The nearest churns once I get the QB Hypogene is probably the next step once we finish commissioning in the coal and that's in fee feasibility stage to be finished middle of this year. And then we will go straight into the full feasibility study. Relincho is falling back perhaps about a year behind. Roger Higgins with me and I think that's a very positive – that and so. And we did certify that we were going to be doing those two simultaneously. But there are those in the company that they bet to which one is better. The longer wave, meanwhile, Ford Hills is being reviewed by Suncor and we think that's a good project for the long term and we know they do to. So those are a kind of the three nearer terms loans that you could see actual construction decision sometimes in the next five years on all three of them. We certainly hope so. Beyond that that there's a long list of earlier stage projects and I will probably leave that to another day.
John Tumazos – John Tumazos: Thank you.
Operator: Thank you. The next question is from Sanil Daptardar from Sentinel Investments. Go ahead.
Sanil Daptardar – Sentinel Investments: Thanks. I just wanted to know, what are the debt covenants on your debt? What, you had to comply with?
Ron Millos: The main financial covenants are interest coverage and the leverage ratio based on rolling 12 month EBITDA and our debt levels. They are based on defined terms within the agreement. So, you will not be able to sort of calculate those numbers. The agreement is publicly available. But our current leverage ratio is two times and the coverage ratio is 5.75 times, I believe, over the stage.
Sanil Daptardar – Sentinel Investments: So they are within the range basically for you to get the investment grade rating?
Don Lindsay: Well. We are well within the range under the term loan agreement and we believe we are well within investment grade range but that's up to the rating agencies to decide what they think on all of this year?
Ron Millos: Great comment. A bit frank because the term loan will be gone as soon as we can make it go. We are not worried about those particular issues. We are more interested in what, the rating agency situations are. We published targets that we have gone through from the last year. And with the closing of Waneta, I think it's fair to say we would have meet those targets, there afterwards what the rating agencies use to do is up to them.
Sanil Daptardar – Sentinel Investments: Okay. You talked about the cash flows for coal but that's going to be at 2009, levels, how about copper cathode or for the copper mines for the copper productions?
Roger Higgins: It's Roger again. As we commented earlier there are a couple of particular things happened in 2010, particularly the first half but long guidance, the commissioning of the Andacollo concentrator and in this normal environment circumstances, the throughputs will be somewhat longer as we adjust each part of the system and rank that up during the first half of the year. That will result in as particular operation having some of our unique customers because the production will be less than 9 planks as we test the systems and that process is underway. And hopefully, and all of that again is strictly required, these technical issues. Those two factors aside, generally we say cash flows will be somewhat pretty much in line with where we think. We do have some high sturdy requirements at Quebrada Blanca because we all thought it's getting little deeper. These normal things that often helped operations of this company in many ways to and bring our cash cost to net dollar.
Sanil Daptardar – Sentinel Investments: If I had to put it to get all of these things together, basically kind of extrapolate the cash cost for 2010, it might just be slight higher than, slightly higher than 2009 in that case, what they might have known?
Don Lindsay: Yeah. Just back on the covenants, I will just clarify the leverage ratio, the maximum is 5.25, we are down around the two level and the interest coverage, the minimum is two times, we are all well above that. So, those are the current figures.
Sanil Daptardar – Sentinel Investments: Okay, okay. You talked about the spot sales likely to be around the same 2009 level of about 20% for 2010, and then you said that for the coal side, the contract pressing the coal in first quarter, it would be 2009 contract, have you negotiated any contracts beyond the first quarter for 2010 on the coal side or you are still un-priced?
Don Lindsay:
 :
Sanil Daptardar – Sentinel Investments: Okay.
Don Lindsay: We're still making coal. We did some product sales of thermocol in 2009. We probably won't do anything like that in 2010 but still making coal side to be the same. As far as 2010, whole year contract negotiations were really just at the very early stage, very (inaudible) yet there are some contracts that are priced beyond the end of the first quarter but most of the contracts are price starting in April 1and we’ve only just begun to step.
Sanil Daptardar – Sentinel Investments: And these contracts are on FOB basis or CIF basis.
Ron Millos: Most of our term contracts are on FOB Fort basis, small percentage would be on CNF [ph] basis. Most of our storage and pricing has far transacts are on CIS basis
Sanil Daptardar – Sentinel Investments: Okay. And all the sales, most of the sales are going to be going to Asia, in fact, the met and the thermal
Ron Millos: More than half or so basis.
Sanil Daptardar – Sentinel Investments: Okay. Great thanks.
Operator: Thank you. The next question is from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith – Haywood Securities: Thanks operator. Don, if you get the precise done on QB so far it's by middle of 2010 then could we sort of assume by 12 months later, you'd have the fees done so you would be in a position to make a decision to go ahead sort of mid 2011. Is that reasonable?
Don Lindsay: Little longer that ended 2011. So we will be looking at construction decisions may be in the fourth quarter board meeting that, that's your thing.
Kerry Smith – Haywood Securities: Okay. Okay. And for how is only copper the –the operating cost in the quarter on a per ton basis were quite a bit little lower than they were year-over-year. Is that just related to a lower strip ratio or is there some other decline in certainly unit lining cause that we should be thinking about there.
Roger Higgins: Thanks. Roger again. We really had a mixed fourth quarter because we we're addressing the questions of the (inaudible) of questions around some of the South and South East war. We (inaudible) during the quarter which had to started drop ranking we have now (inaudible) although it was enormous quarter, I think we should stick on (inaudible) longer term rather than the fourth quarter.
Kerry Smith – Haywood Securities: Okay. And then you talk about lower graded home values for the next couple of years. Is there going to be like 5% lower grade like just roughly how should we think of that?
Roger Higgins: Time for a number around that its, it is – it might be part 10.
Kerry Smith – Haywood Securities: Okay. And Ron, just can you give any guidance on what your expense expiration might be this year and what the G&A would be before any stock based compensation for 2010.
Ron Millos: The G&A before stock-based compensation is sort of a $90 to $100 million range. Couple of items in there will be – pensions is a big number and that pension expense move up and down quite dramatically depending what the market does obviously. Expiration were in the process of finalizing our budget so we don’t have a pin in that number but I would expect it would be similar level to 2009.
Kerry Smith – Haywood Securities: Okay. Yes. That’s enough for what I needed. And then just one last question on now you start to produce more concentrate, what have you done for TCs and what are you thinking about TCs on the copper side for 2010?
Ron Millos: Targets are (inaudible) confidently.
Andrew Stonkus: Yeah. Kerry, it's – Andrew here. We are in the midst of our negotiations with our long-term customers for existing production and for – and the coal also. So we are in the early stages that we do have some – I do know some place but we still know those discussions today and well my comment on the specifics obviously that the market is as Ronald mentioned is full of raw materials, it’s a tight market right now.
Kerry Smith – Haywood Securities: Okay. So…
Ron Millos: Sorry, sorry, Kerry. I think we are going to have to bring this call to a close (inaudible) normally lot of time.
Don Lindsay: But I think there is a numbers more details (inaudible) questions that you can touch with Greg to help here on. Just as closing comments everyone’s again want to drop people to attention to slide 22 and we’ll did in the marketplace there are both short term and long-term investors and what we have seasonality in our business that first quarter, we do every year due to the shipping Red Dog and we are still receiving the low coal size, but on the last years counter price and higher value acquisitions. And so do you want people share to pay taxes and that is a more of the first quarter, that I’m encouraged to see the reports coming out on the outlook for the year and there's no question we're in well positioned in Nickel, Copper and Zinc Macro going forward to (inaudible). In fact, they noted this morning that one of the points has this being net debt free by the end of next year. So clearly strong free cash flow coming, so for the long-term investors have got great potential. Anyway, thank you all for your attention this morning; we will look forward to the next quarter.
Greg Waller: And for those of you who may still be in the queue, please feel free to give me a call. It’s Greg Waller and I can talk to you later this morning. Thanks.
Operator: Thank you. The conference has now ended. Please disconnect you lines. And we thank you for your participation.